Takuya Nakata: I'd like to start a briefing on the results of the First Three Quarters and the Forecast of the Fiscal Year Ending in March 2024. Please refer to the presentation material at hand and turn to Page 1. Here are the highlights of the first three quarters. Due to the slower than expected recovery of the digital pianos in North America and Europe and the continued sluggishness in China, the musical instruments' revenue decreased. However, the overall revenue increased due to the brisk sales of B2B Audio Equipment, and the positive impact of exchange rates. Yet, the profit decreased, due to the revenue decline of the musical instruments, and the production adjustments, to reduce inventory. As we decided to consolidate the piano frame production process in China to Japan, an impairment loss of ¥2.1 billion was posted. Regarding the full year forecast, considering the slow recovery of the digital piano demand in North America and Europe and the continued sluggishness of the Chinese market that are dragging down the sales, as well as the one-time expense to post, we revised down the revenue and core operating profit forecasts. The expected annual dividend per share will remain unchanged at ¥74. Please turn to Page 3. Here is the summary of the figures. The revenue for the first nine months was ¥341.8 billion, the core operating profit was ¥27.8 billion, and the net profit was ¥20.7 billion. It seems like a year-on-year increase of revenue, but it was lifted up by the impact of exchange rates. So as you can see on the right, it was actually a decline in both the revenue and profit. Next, Page 4 shows, how the core operating profit, which was ¥38.7 billion in the previous year, had dropped to ¥27.8 billion this year in a waterfall chart. There were positive factors such as the impact of exchange rates, and the improvement of ocean freight charges, but the impact of continued increase of cost, and the decrease in sales, production and model mix were greater. Moreover, the SG&A expenses increased year-on-year. These so far were the impacting factors, of the musical instruments and Audio Equipment. But in addition, the IMC, Industrial Machinery & Components business and others dragged down the overall profit. Moving on to Page 5, please find the results of each business segment. The musical instruments, even with the great uplifting effect of the exchange rates shown on the right, the revenue and profit declined year-on-year. The segment continually faced very tough situations, so the profit margin also dropped by 4.3 points. The Audio Equipment performed well overall, especially with the remarkable sales of B2B products. And even beyond the exchange rate impact, both the revenue and profit increased year-on-year. The profit margin also improved by 2.5 points. The IMC business and others, continued to be sluggish and the revenue and profit, declined year-on-year. The profit margin also deteriorated by 9.3 points. Please turn to Page 6 for the full year forecast. The projected revenue is ¥460 billion, the core operating profit is ¥34 billion, the profit ratio is 7.4% and the net profit is ¥29 billion. We regret to inform you that, we had to revise down the forecast of revenue, by ¥5 billion, core operating profit by ¥8 billion and the net profit by ¥5.5 billion. Now Page 7 shows the comparison of the full year profit forecast against the previous year's result, which looks almost the same, as the first nine months. Even though there are some positives from exchange rates and ocean freight charges, the negatives such as the cost increase, the sales and production decrease and the SG&A increase, are greater and would drag down the profit. Please note the one-time expenses mentioned here. There are some expenses that we are scheduled to post at the end of the fiscal year. So, they have been taken into consideration for the full year forecast. As for the SG&A expenses, the year-on-year increase level, is smaller than the first nine months, which is a proof of efforts that we are making, but it will still be greater than the previous year. The bottom half shows the exchanges from the previous projection. The core operating profit, which was expected to be ¥42 billion, is now revised down by ¥8 billion to ¥34 billion. There are some positives from the exchange rates and SG&A, but the actual decrease in sales and production, and the model mix deterioration are especially significant. Moreover, there will be the one-time expenses that I just mentioned and the IMC business and others' performances, are deteriorating further. Moving on to Page 8, here is the full year forecast by each business segment. The general trend is the same as that of the first nine months and the musical instruments and IMC business, and others are struggling. As for the Audio Equipment, even though the absolute amount is still small, we can expect an improvement year-on-year. Page 9, is a new slide that we inserted here, to highlight our manufacturing strategy revision and the fixed cost reduction schemes. As shown here, we revised our manufacturing strategy and are conducting a major headcount reduction, at the overseas manufacturing sites. In face of the environmental changes and challenges, we felt a greater need to promptly react to the market, with flexible procurement production. Moreover, the benefits of overseas production have declined on relative terms. Of course, the greatest reason is depreciation of the yen, but there are also geopolitical risks and changes in the Chinese market, and we cannot dismiss such environmental changes. We must also manage the risk of dispersing our technologies and skills and not passing on to the next generation. On the right, we have listed the measures, to address such concerns. The first is to enhance the procurement resilience, so we established a semiconductor procurement company in Malaysia. With this, we will work on consolidating the parts, shortlisting the suppliers, and enhancing the cost reduction negotiating capabilities. The second is to reinforce the production functions in Japan, as the mother's site. In the past, we had turned the domestic manufacturing functions into subsidiaries, but we are once again consolidating them into Yamaha Corporation, so that we can integrate the technologies and skills of development and production. Also, the head office will lead the efforts, to ensure the technology transfer, and to drive the global production system. One another thing is to consolidate, the piano frame manufacturing processes to Japan. This is partially related, to the overall manufacturing strategy, but we were especially concerned about the recent sluggishness, of the piano business in China and the less promise, for the future recovery. In fact, we have had the piano frame manufacturing sites in Japan and China, but we came to realize, the environmental changes and challenges. As a result of careful considerations over many aspects including the cost, we concluded that the best thing for us, is to consolidate the manufacturing process to Japan. Accordingly, we will need to dispose the manufacturing facilities in China. So, we booked an impairment loss, during the third quarter. Furthermore, as highlighted at the bottom, while working on such big revisions in the mid and long-term strategy, we must also address the imminent production issue, which led to the excessive fixed cost burden. Therefore, we decided to drastically cut back the manufacturing capacity, mainly overseas and reduce the headcount by 10%, which accounts to 2,000 personnel. During the third quarter, which means by the end of December 2023, we already conducted the majority of the restructuring efforts, and we are going to complete this, by the end of the fourth quarter. Now, I'd like to give you the overview, of each business segment. Please turn to Page 11. First, the Musical Instruments revenue in the first nine months declined as the pianos and the digital piano sales decreased. The sales of the digital musical instruments declined, as the digital piano's entry model demand was slow to recover in North America and Europe. The wind, strings, and percussion instrument sales, were continually favorable as the demand in Japan and Europe recovered. The guitars faced difficult market conditions for the acoustic guitars, especially in North America, but the sales increased with the addition of Cordoba. As for the full year forecast, since the market conditions in China and the digital pianos are severe, we are expecting the segment sales to decline year-on-year. We continually anticipate the sluggishness of the pianos in China. The digital musical instruments were seeing the signs of recovery in North America and Europe, as we mentioned, after the first six months, but the momentum was lost before it reached the full recovery, or the recovery had been slower than expected. So, we are projecting the sales to decline. The wind, strings, and percussion instruments, are expected to achieve increase, due to the robust demand, and the guitars are also expected to see the sales increase, with the addition of Cordoba. The segment revenue as a whole is projected to drop 4% year-on-year. Page 12 shows the revenue by product categories. The full year sales of the pianos are expected to decrease by 11% year-on-year. In the previous forecast, we projected a 6% drop, but we are now anticipating a further decline. Likewise, the digital musical instruments are expected to decrease by 11%, while the previous forecast was a decrease of 6%. The forecast for the wind, strings, and percussion instruments, is unchanged at 2% growth. The guitars are now expected to increase by 11%, which is lower than the previous forecast of 17% increase. Page 13 shows, the regional sales breakdown. Japan is expected to achieve a flat growth, and North America is expected, to suffer a drop of 5%. Europe is expected to grow by 4%, but China's situation is continually very severe. In the previous year, the sales dropped by 21% year-on-year, but we are anticipating a further drop of 18% this year. The sales of other regions, are expected to decline by 5%. Please turn to Page 14. This slide is about the Audio Equipment segment. During the first nine months, the B2B products, continually performed well. Although the sales of consumer products dropped in the sluggish market, the B2B products, which enjoyed a robust demand and the new product effect, achieved a significant sales growth. The full year forecast is basically, the extension of the first nine months, but as you can see in the third bullet point, the segment profit will increase year-on-year, driven by the robust B2B sales growth. The segment revenue is expected to grow 5%. The co-operating profit, which was ¥3.5 billion in the previous year, is expected to grow to ¥5 billion, this year. Page 15 shows the breakdown. The sales of consumer products are expected to drop 9%. Previously, we estimated a decline of 2%, but we lowered the projection further. Meanwhile, B2B products are expected to grow 23%, which is higher than the previous projection a 14% increase. Page 16 shows, the Audio Equipment sales forecast by regions. We expect Japan to drop 1% and North America to rise 14%. As for the Audio Equipment, North America is likely to perform well continually. Europe is expected to rise 2%, China is expected to drop 13%, and the other regions are expected to rise 16%. Page 17 shows, the IMC business and the others segment. During the first nine months, as the automotive sound systems and the automobile interior wood components performed well, the IMC sales increased. For the full year, since the automotive sound systems are growing further, we are expecting the IMC sales to increase year-on-year, but the rebound decline of the golf products, which we enjoyed a special demand in the previous year, is significant. Therefore, the year-on-year decrease of the segment revenue and profit is mostly caused, by the golf products. For the other financial figures, please turn to Page 19. According to the balance sheet at the end of December 2023, the total assets were ¥627.2 billion and the total equities was ¥482.9 billion. Compared against the end of March, there was some seasonality involved as well, but the inventories rose by ¥17 billion, so the balance at the end of December was ¥170.7 billion. We must regretfully admit that, we could not reduce the inventories as much as we had hoped. By the end of March 2024, the total assets are expected to be ¥636 billion, including the inventories of ¥157 billion. The inventory balance will be higher than what we had projected, after the first six months. The total equity is expected to be ¥492 billion. Now please turn to Page 20. At the Board of Directors meeting held the other day, we passed the resolution, to conduct a share buyback. The objective is to enhance the shareholder returns, and the capital efficiency. From February 7 to July 31, we are going to acquire up to 7 million shares, or ¥15 billion worth of our own shares, from the market. All the treasury shares that we acquire from the market, would be cancelled. Page 21, is another slide that we added from this quarter, to show our determination to manage the company well with the ROE and share price improvement in mind. Of course, we have always been mindful about them from before, but we added this slide to our IR presentation to communicate the situation better. The ROE for this fiscal year is expected, to be 6.1% since the revenue and profit are deteriorating. We must foresee a severe outlook. While the cost of shareholders' equity is 8.4%, according to the latest calculation, the ROE will be far below that level. Most of all, we must improve the revenue and profit, but we would also like to provide steady returns to the shareholders to achieve an ROE that exceeds the cost of shareholders' equity at the earliest possible timing. In the charts below, you can also see the historical ratio, of shareholder returns and trend of cross-shareholdings. The ratio of cross-shareholdings in the total assets have increased a little as the stock prices rose in the market, but we would like to continually stick to our policy to reduce the cross-shareholdings gradually. Page 22 shows the capital expenditure, depreciation, and R&D expenses. Regarding the topics, please refer to Pages 24 and 25, for the progress of the priority themes in our midterm plan. First, to further strengthen the business foundation, we are trying to develop closer ties with the customers, by creating more touch points. As shown at the bottom left, we established a local sales subsidiary in the Philippines. Previously, we just relied on a local importer, but by setting up our own company in the Philippines, we are hoping to enhance the activities. For a start, the Yamaha exclusive store was renewed. As shown in the middle, we are trying to create new value, and as shown on the right, we are trying to be more flexible and resilient. As I mentioned earlier, we established a procurement subsidiary in Malaysia. Page 25 shows our efforts to set sustainability as a source of value. One example is the Diversity Clarinet, and the other is the Instrumental Music Education initiatives. We also held a concert called [Dare Demo Dakeru], which enabled the amateurs with disabilities to play Beethoven's Ninth Symphony on the piano. We would like to continually engage in such initiatives. We also described our efforts, to promote the respect for human rights and DE&I. Page 26 and on are the Appendix. And with that, I would like to conclude my quick presentation. Thank you very much.
Q - :